Operator: Good day, and thank you for standing by. Welcome to the FIS Fourth Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, George Mihalos, Head of Investor Relations.
Georgios Mihalos: Good morning, everyone. Thank you for joining us today for the FIS Fourth Quarter 2025 Earnings Conference Call. This call is being webcasted. Today's news release, corresponding presentation and webcast are all available on our website at fisglobal.com. Joining me on the call this morning are CEO and President, Stephanie Ferris; and James Kehoe, our CFO. Stephanie will begin the call with a strategic and operational update, followed by James, who will review our financial results. Turning to Slide 3. Today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the safe harbor language. Also, throughout this conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings and adjusted net earnings per share. These are important financial performance measures for the company, but they are not financial measures as defined by GAAP. Reconciliation of our non-GAAP information to the GAAP financial information is presented in our earnings release. And with that, I'll turn it over to Stephanie.
Stephanie Ferris: Good morning, and thank you, George. I'm excited to share our results today. But before I do, let me start off by saying how thankful and incredibly proud I am of the teams at FIS. The last 12 months has been full of change and complexity. But through it all, our team has stayed focused on our customers, on executing against our strategy and delivering on our expected outcomes. We didn't let the noise become a distraction, and that's exactly what you'll see here today. As we move into 2026, market transformation persists, and the technology changes continue to accelerate. But when I look at how the businesses are positioned, the innovation that we're bringing to market and the strength of our client relationships alongside their growing demand for technology, I've never been more confident in the growth prospect of the financial services industry or of FIS' ability to grow with it. I'm extremely excited by the opportunities that lie ahead of us. Now, let me walk you through why. We delivered very strong results in 2025. First, we met or exceeded our key financial commitments for the year, positioning us for an even stronger 2026. Second, we are executing on our strategy to transform and simplify our portfolio by fully divesting our merchant-focused business and acquiring the market leader in credit issuing, strengthening our position in the large financial institution space. And third, we are positioning our business to double our cash flow in 3 years to over $3 billion. Now, let's move to Slide 4. We delivered on the key strategic pillars we set out to achieve. Adjusted revenue grew 5.8%, exceeding our outlook. EBITDA came in at the high end of expectations. Adjusted EPS grew over 10% to $5.75, and we generated robust free cash flow, enabling us to return $1.3 billion to shareholders through buybacks. These results reflect a business delivering on the commitments we made when we began our transformation journey. But the story isn't just about strong execution. It's about what these results enable us to do at this moment when financial services is positioned to grow. Turning to Slide 5. We are witnessing a generational moment reshaping financial services, and FIS is in the best position to capitalize on it. Three powerful forces are converging simultaneously. First, the banking industry is experiencing exceptional strength. Banks have excess capital, stable credit and strong operating performance, emboldening them to pursue aggressive growth agendas. Second, banks are executing on those agendas now. We've seen approximately $50 billion in announced M&A in 2025, and analysts project financial services tech spending will increase roughly 30% by 2029. Third, emerging technology, particularly AI, is moving from experimental to mainstream at unprecedented speed. AI adoption is accelerating to 8x 2023 levels, and banks recognize AI isn't a future opportunity, it's a competitive imperative today. Here's what makes this moment so compelling for FIS. No technology provider is better positioned to capitalize on this convergence. We have 3 important advantages: proprietary data sets spanning the entire money life cycle; long-standing, deeply embedded relationships with institutions built on trust; and a highly specialized regulatory and compliance infrastructure that took decades to build and cannot be replicated quickly. We believe these advantages translate to a significant opportunity for FIS to deliver differentiated AI solutions, which challengers without comparable data, scale, operational integration, trust or relationship cannot replicate. I'm going to discuss more around our AI moat in a few slides. Moving to Slide 6. Unlike some peers, our focus isn't about serving the most banks. Our strategy is partnering with banks that are growing faster than the market, both organically and through consolidation. Our strategy is to grow side-by-side with them in areas where they're spending, payments, digital and lending. These LFIs represent a particularly attractive segment, accounting for a disproportionate percentage of industry revenue, account and payment transaction growth. Over the past 10 years, the number of LFIs has grown by 56%, and those banks continue to increase their spend on technology with tech spending increasing 11% of their revenue today. As a reminder, this is exactly where FIS shines, working with growing banks, looking to take advantage of technology to continue to grow their franchises. In 2025, bank M&A increased approximately 30% compared to the prior year with over 170 deals announced, including a number of mega deals, creating super regional banks with expanded geographic footprints. FIS was on the winning side of most transactions, including the ones listed on this slide. In fact, one large bank CEO called out FIS as the most scalable platform to help them consolidate acquisitions and grow their business. This is why our strategy is focused on helping these banks modernize and grow and why our investments and innovations are focused on the places where these banks are spending money. Now turning to Slide 7. Our Issuer Solutions acquisition positions FIS to lead across every major industry theme, shaping banking and payments today. Demonstrating the value of our combined data assets, we've already established a modern product roadmap announcing a new product on the first day after the close of our acquisition. This includes the industry's first AI transaction platform supporting Agentic Commerce, enabling AI agents to make, negotiate and pay for purchases using preapproved payment methods, keeping banks central to those flows. Additionally, total issuing solutions rolled out 12 new modernized offerings in 2025, including enhanced loyalty solutions and origination's preapproval and decisioning capabilities. Client validation is equally compelling. With this acquisition, we have expanded our relationship with 14 of the top 25 U.S. LFIs across our banking and capital markets businesses. Over the last 12 months, we have renewed or extended relationships accounting for approximately 30% of total issuing revenue and have no large renewals pending in 2026. That renewal momentum tells you something important. The largest, most sophisticated banks in the country are choosing to deepen their commitment to FIS. We're confident in achieving our revenue and expense synergy targets of $45 million and $125 million in 3 years, respectively, as we laid out in April of 2025. The integration is tracking well, and the combined platform positions us to meet evolving market needs from real-time payments and digital currency to AI-powered fraud and risk management. All of this gives us confidence in the value creation ahead. Turning to Slide 8. Now, let's talk a bit more about the value I just discussed. With the completion of this transaction, we exclusively serve the financial services industry and operate the most comprehensive data platform and financial technology. With over 1 billion accounts on file, driving approximately 73 billion transactions annually. We can now see money at rest in core banking deposits, money and motion across all payment rails and money at work in lending and investing. In a world where data is essential for AI-enabled insights, this integrated visibility is highly differentiating. Demonstrating the power of this combined data even before the transaction closed, we started working with a large regional bank to grow their credit card portfolio, combining core data from FIS and credit transaction data from total issuing solutions, together into a model, enabling the bank to increase their consumers' credit limit, ultimately resulting in higher consumer spend and transaction income to the bank. Our product set is wide and deep, creating valuable systems of record. And here's why that matters: a recent Forbes article explained that AI agents make systems of record more valuable because these core systems provide the accurate, authoritative data AI needs to function effectively. FIS operates mission-critical systems of record, defined by deep integration into regulated workflows, decades of accumulated proprietary data and enterprise-grade governance, security and auditability. These characteristics cannot be easily replicated by stand-alone AI tools or horizontal platforms. And financial institutions continue to prioritize reliability, accountability and compliance, areas where incumbency and trust matters most. That scale, that trust, that operational integration are durable differentiating advantages. Turning to Slide 9. Our commercial muscle is flexing across the entire enterprise. In Q4, we grew recurring ACV sales 20% year-over-year, clearly demonstrating enterprise-wide commercial excellence. I will detail these on the next slide. Another example of our strategy in action, our build by partner approach. It's driving innovation and accelerating new product development. Beyond our Agentic commerce solution I discussed earlier, we built and rolled out next-gen cloud-based solutions like Money Movement Hub with over 100 customers signed up since our launch in 2025. Other recent launches include SmartBasket, a real-time AI-powered solution that analyzes shopping behavior to automatically apply optimal payment methods, personalized rewards and targeted promotions at checkout. And our acquisition of Amount is offering clients a modern digital account opening solution that helps banks grow across deposits and lending. We've won 22 new deals since acquiring this capability late last year. More recently, our acquisition of [ DWA ] in Capital Markets puts us at the forefront of computational law and regulation. Leveraging [ DWA's ] AI capabilities, the acquisition strengthens our competitive position across the buy and sell-side compliance space, empowering our clients to make millions of accurate regulatory decisions across global jurisdictions. The common thread, modern, cloud-based and AI-enabled. No one else sees money across its entire life cycle, and that data advantage is now our strategic engine. We 4x'ed our investment in data and AI transformation, unifying our data stack, deploying agents that drive real client outcomes and building domain-specific AI capabilities. The result is differentiated value for clients on the things that matter most: fraud prevention, deposit and lending growth and operational efficiency. Our data moat gets stronger every day given our infrastructure powers critical and complex workflows for our clients at scale. AI is a strategic accelerant for FIS with adoption unfolding inside existing platforms, augmenting software to improve automation, decisioning and productivity rather than replacing core systems. This dynamic favors data-rich platform owners like FIS. Moving to Slide 10. We saw strong recurring ACV growth across all segments in Q4, with banking solutions up 13% and Capital Market Solutions up 34% year-over-year. Our high-growth solutions delivered very strong full year results. Digital Solutions grew recurring sales ACV 123%, payments grew 70% and lending grew 62%. These are leading indicators of where the enterprise is heading, as we drive improved product and revenue mix. This is our strategy in action, what we highlighted at Investor Day, driving significant increases in highly recurring revenue. And all of this is driving significantly improved and higher quality revenue and margin mix, as we head into 2026. Turning to Slide 11. So let me bring this together. We are executing our differentiated strategy from a position of strength. We delivered strong results in 2025, and our commercial and operational excellence momentum gives us confidence heading into 2026. Our innovation strategy is working. Our focus and targeted investments in high-growth vectors such as payments, digital and lending are resonating in the market with strong recurring ACV growth. And we continue to drive innovation across the enterprise, leveraging emerging technology, including AI to accelerate new product development. We are uniquely positioned for this moment. In a fast-growing financial services sector, we are in the right markets at the right time with the right solutions. We are at the center of an important inflection point in our industry, and we're uniquely positioned to capitalize on it. With that, let me turn it over to James to discuss our financial results and outlook in more detail.
James Kehoe: Thank you, Stephanie, and good morning. As you just heard, we are entering 2026 with positive momentum, both operationally and strategically. We are seeing clear results across commercial excellence, operating efficiency and cash generation. Strategically, the acquisition of the total issuing solutions enhances our financial profile by reinforcing our durable recurring revenue growth and delivering strong free cash flow. All of this positions us to deliver strong growth across revenue, margins and free cash flow. Moving to our financial results on Slide 13. Fourth quarter revenue growth accelerated to 7.4%, led by strong recurring revenue growth and another quarter of outperformance from banking. EBITDA grew 7.3% in the quarter. As expected, we delivered good margin expansion across both operating segments. But the segment gains were offset by corporate expenses, where we were lapping an exceptionally low prior year period. Adjusted EPS increased 20% in the quarter, led by both EBITDA growth and below-the-line favorability. Full year revenue grew 5.8% to $10.7 billion, and EBITDA grew 4.7% with margins contracting 28 basis points, a rising contribution from cost saving programs almost entirely offset a 45 basis point dilutive impact from acquisitions and a 70 basis point headwind from declining TSA income. Absent these 2 factors, underlying margins would have increased by approximately 90 basis points. EPS increased 10.2% for the year, well within our midterm guide. Free cash flow was a strength for us, outpacing EPS growth and growing 19% to $1.6 billion. Capital expenditures came in at 9.3% of revenue, in line with our expectations, and cash conversion finished strongly and ahead of expectations at 88%. And we returned $2.1 billion to shareholders, exceeding our capital allocation commitments. And our Board of Directors recently increased the annual dividend by 10%, underscoring their confidence in the durability of our business. Turning now to our fourth quarter segment results on Slide 14. Adjusted revenue growth was 7.4% with recurring revenue growing faster at 7.8%. Once again, banking exceeded our expectations. Revenue growth was 8.3%, well above the high end of our implied outlook, led by recurring revenue growth of 8.8% with strength in digital and payments and higher output solutions than we anticipated. M&A contributed 130 basis points. And as a reminder, revenue growth also benefited from an easier year-on-year comparison of around 190 basis points. Nonrecurring revenue increased 28%, including a 16-point benefit from an easier prior year comp, and professional services declined 16%, as we continue to prioritize recurring revenue sales activity. Banking EBITDA margin expanded 132 basis points, including a rising contribution from cost management, favorable product mix and an easier comparison. Turning now to capital markets. Adjusted revenue growth of 5.6% came in largely in line with our expectations, with recurring revenue growth of 5.3%. Nonrecurring revenue increased 13.7%, reflecting strength in license sales, whereas professional services declined 6.9%, as we continue to focus on recurring sales. Capital Markets EBITDA margin expanded by more than 200 basis points, reflecting continued cost optimization, operating leverage and favorable revenue mix. Moving now to Slide 15 for a quick overview of our full year results. Full year revenue was consistent and resilient across both banking and capital markets. Banking adjusted revenue grew 5.6%, led by strong 6% growth in recurring revenue. Capital Markets posted adjusted revenue growth of 6.3%, including recurring revenue growth of 5.8%. Turning now to Slide 16 to discuss our expectations for 2026. The recently acquired Total Issuing Solutions business will be included in our Banking Solutions segment, and we have provided a full set of historical pro forma financials in the appendix. Additionally, we will be reporting 2 divisions within banking solutions, payments and banking. And we have included a summary of the platforms that make up each division on Slide 26. To further align our business with our strategic vision, we have also transitioned certain businesses across our operating segments or into the Corporate and Other segment. For example, we have moved our Automated Finance business from Banking to Capital Markets to better align with our office of the CFO strategy. Overall, these changes had an immaterial impact on our historical segment growth rates. Our 2026 outlook will be presented on an adjusted basis, which includes 8 days of Worldpay EMI plus Total Issuing Solutions from the date of acquisition. However, we are providing growth metrics on both an adjusted and pro forma basis. Please note, post the close of the acquisition, we have reclassified certain non-GAAP expenses to operational expenses and refined our revenue and EBITDA expectations to account for some minor perimeter changes. As compared to our original assumptions at the time of announcement, this will reduce pretax earnings by $40 million and adjusted EPS by $0.07, and this is accounted for in our 2026 outlook. We have provided a full reconciliation on Page 29. For the first time, we will be providing an outlook for free cash flow, reflecting cash flow from operations less capital expenditures and adjusted only for cash taxes on the Worldpay sale, which will be payable in 2026 and won't repeat in 2027 and beyond. With that, let's review our full year outlook on Slide 17. On an adjusted basis, revenue is projected to grow 30% to 31% with EBITDA growing 34% to 35%. EBITDA margins are projected to increase 155 to 175 basis points with 62 basis points coming from the addition of total issuing solutions to the pro forma base. On a pro forma basis, revenue is anticipated to grow 5.1% to 5.7%, compared to 4.5% to 5.5% at Investor Day. Pro forma EBITDA will grow faster than revenue with anticipated growth of 7.2% to 8.4%. As a result, we expect pro forma margins to expand by 95 to 110 basis points, as we ramp our cost efficiency programs, drive favorable revenue mix and deliver year 1 synergies. Adjusted EPS is projected to grow 8% to 10% to a range of $6.22 to $6.32, consistent with our prior commentary. The issuer transaction is slightly accretive in the first year. As a reminder, our outlook does not include share repurchases, as we temporarily paused buybacks to prioritize deleveraging post-deal close. A key thesis for the acquisition was generating significant and sustainable free cash flow growth, and we are confident in delivering on this commitment. For 2026, we anticipate free cash flow of over $2 billion, growing 27% to 33% year-on-year and growing more than 3x faster than EPS. As I mentioned earlier, this is an all-in number. The only item that is excluded is any cash taxes paid on the recent sale of Worldpay. On an adjusted basis, we continue to target cash conversion of 90% for the year. I'll now talk through our revenue growth projections on Slide 18. Banking adjusted revenue is projected to grow more than 40% with pro forma growth of 5% to 5.5%. This is the second year in a row that banking will exceed our Investor Day growth targets, demonstrating the successful pivot to accelerated growth. These projections include approximately 60 basis points of M&A contribution with pro forma organic growth of 4.4% to 4.9%, compared to 4.5% in 2025. For capital markets, we project revenue growth of 5.5% to 6.5%, including an M&A contribution of approximately 95 basis points. This outlook is slightly below our Investor Day target, reflecting a lower level of M&A activity and a decision to pivot our focus to higher-quality recurring revenue. As a reminder, our long-term capital market strategy is to gradually shift license sales to more predictable recurring revenue. In 2020, our recurring revenue was 68% of total revenue, expanding to over 71% in 2025, with a further increase expected this year. Specifically, in 2026, accelerating mid- to high-single-digit recurring revenue growth will be partly offset by slower growth in nonrecurring revenue, as we execute on this strategy. Turning now to EBITDA margins on Slide 19. The actions we took last year give us good line of sight into delivering significant margin expansion of 155 to 175 basis points or 95 to 110 basis points on a pro forma basis. These include accelerating cost actions, rising leverage from AI, our commercial focus on more profitable ACV and improving product mix and the strong margin profile of total issuing solutions and the related cost synergies. Let's go through the building blocks of our margin outlook. First, a strong margin profile of total issuing solutions add 62 basis points to our pro forma base. Next, there will be a reduction in TSA income from Worldpay, resulting in a margin headwind of approximately 40 basis points. And this is lower than the 70 basis points of headwind we encountered in 2025. The net cost reduction column includes inflation, investments and other cost increases. However, our cost-saving initiatives and synergies are offsetting these increases and driving 80 to 85 basis points of margin improvement on top. We have high conviction here. AI is a significant lever going forward, and we will capture integration synergies over the coming months and years. Importantly, we took a series of cost actions in 2025 and exiting the year that drive sizable savings in 2026. Overall, these projections include synergies of $30 million to $40 million or 20 to 30 basis points of margin enhancement. And finally, leverage and mix will add 55 to 65 basis points. Here, you can see the inherent operating leverage of the business and the flow-through of favorable product mix. Altogether, we have a high degree of visibility, 70% of the cost savings have already been actioned and a majority of the improved product mix was already sold in 2025. Now, let's turn to Slide 20 for an overview of free cash flow. In 2025, we drove a broad series of cash optimization initiatives and successfully accelerated growth to 19%, almost double the rate of earnings growth. Looking ahead, we are anticipating a further acceleration in cash flow. For 2026, we expect to drive free cash flow growth of 27% to 33%. Beyond 2026, we expect to continue growing cash flow well ahead of earnings, as we steadily improve capital efficiency and working capital ratios and reduce one-time integration and transformation costs. We are well positioned to double our free cash flow to over $3 billion by 2028, and this implies a compound annual growth rate of approximately 25%. This will allow us to meaningfully increase future capital returns to shareholders once we have reduced our debt leverage to our long-term target. Let's now discuss our first quarter outlook on Slide 21. Adjusted revenue will grow 29% to 30%, with pro forma growth of 5.5% to 6.2%, largely consistent with the full year outlook. We expect a strong start to the year across our banking business with revenue growth of 7% to 7.5% compared to full year growth of 5% to 5.5% growth. Capital Markets full year revenue is projected at 5.5% to 6.5%. But as expected, the first quarter will be a bit softer, entirely due to the tough comparison in the year ago quarter on nonrecurring license revenue. You will recall that Capital Markets other nonrecurring revenue posted very strong growth of 47%, and the exceptionally strong license renewals in the year ago quarter is negatively impacting Capital Markets by approximately 5 points. Excluding this, Capital Markets revenue growth would be in the 6% to 7% range. Adjusted EBITDA is projected to increase 33% to 35%, and margins will expand by 115 to 135 basis points, including a favorable mix impact from the total issuing transaction. Pro forma EBITDA will increase 7.1% to 8.4%, ahead of the pro forma revenue growth with pro forma margin expansion of 35 to 55 basis points. Core margin expansion is much stronger, expanding by more than 100 basis points if you adjust for the timing of the capital market of renewables. This is a solid start to the year, positioning us to deliver consistent margin expansion over the course of the year, in line with our full-year outlook. Adjusted EPS is expected to increase 4% to 7% to $1.26 to $1.30. In summary, we had a good finish to the year with particular strength in our Banking segment. We recently closed 2 transformative transactions, acquiring the Total Issuing Solutions business and monetizing our noncash-generating Worldpay stake, meaningfully improving the company's cash flow profile. We are projecting durable revenue growth combined with significant margin expansion. And lastly, we are targeting free cash flow of over $2 billion and are well on track to generating more than $3 billion of free cash flow in 2028. With that, operator, could you please open the line for questions?
Operator: [Operator Instructions] Our first question comes from Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: I appreciate the question here. Just maybe for Stephanie. I appreciate your comments upfront. Forgive me for asking the first question on AI. But just -- I like what you said about the systems of record businesses, but can you give us a little bit more on how you think about the risk that AI could automate or replace some of the key functions that FIS currently provides to banks, just thinking about the surround products, core banking itself? I know that it's weathered the storm of past tech waves in the past, but just trying to understand if AI will be different in any way in your mind.
Stephanie Ferris: Yes. Thanks, Tien-Tsin. No problem with the AI question. It wouldn't be earnings season this year, I think, without an AI question. So a couple of things. I would highlight 3 things: one, we do believe we have a durable advantage here, and I'll walk through why. We actually view AI as a strategic accelerant for our business, and we'll talk about where we're focused to use it as a strategic accelerant, which is in the places where we think AI can add a lot of value inside and around our system. So first, talking about FIS, we -- as you know, we operate mission-critical systems of record. These are -- these provide accurate authoritative data sources. They're not predictive in nature. They have to be audited. They have to be regulated. We think in this scenario, and this is broadly across FIS, those are the systems of record we operate if you think about all of our systems. And so we believe we have a durable advantage here because there's really 3 important advantages if you think about FIS. We have proprietary data sets with decades of accumulated data across the entire money life cycle. So you think about core banking, payments, lending, investing, these proprietary data sets are massive, and you need them to do AI -- to have AI capabilities built on top of them. Second, our core systems are deeply integrated into regulated workflows. These regulated workflows have to be auditable, and you have to create a significant amount of compliance and regulatory reports out of them. And then finally, enterprise-grade governance, security and auditability. So if you think about durable advantages around systems of record, those are how we see the biggest 3 important advantages. And I referenced in my prepared remarks the Forbes article that effectively said that AI agents make systems of record more valuable. So we really believe and see our technology and our data as a strategic advantage. Now, how do we think about AI as a strategic accelerant? And where do we think AI can enhance and/or disrupt our systems of record? So as we think about AI really being a strategic accelerant, our data moat is now our strategic advantage. And we talked about how big that is now across the entire money life cycle. Bringing the credit issuing business inside FIS, we now have and see over 1 billion accounts on file, 73 billion transactions. We go across core banking every single payment rail now with credit issuing. And so you think about the data that banks need or anybody needs to create AI capabilities, we have more than ever. And so we talked about we're 4x'ing our investment in data and AI, focusing on unifying our data stack. So we're spending a lot of money now as you think about enhancing those data capabilities, deploying agents inside our existing systems and on top and building domain-specific AI capabilities. So where do I -- where are we focused? And where do I think there's potential for enhancement or disruption? It's really where the predictive part of our systems are needed. So think about fraud prevention, how to predict the next best deposit and lending account. So we're focused on enhancing our capabilities using our dataset and putting AI in those. That's where the predictive TSYS is where we think the opportunity is. Being able to onboard clients more efficiently because you can get through KYC, KYB regulatory risk much more quickly with AI predictive capability. And then, broadly in the banks helping them with productivity initiatives taking down costs where they have people that use our core systems of record and workflows and help use AI to automate those processes. So that's where we see AI being enhancing, and we really think it's a strategic accelerant for us versus risk, but we have our eye on the whole market.
Operator: Our next question comes from Ramsey El-Assal with Cantor Fitzgerald.
Ramsey El-Assal: I wanted to ask about the pace of the shift in capital markets to higher-quality recurring revenue within the segment. How long do you expect this shift to have an impact on segment revenue growth? And how should we think about the steady state segment kind of growth profile after the shift is complete?
Stephanie Ferris: Yes. Maybe I'll start in terms of how to think about that strategically and James can add on in terms of if he thinks I missed anything. If you look back, and I think we talked about this to 2020, the recurring revenue was 69% of Capital Markets revenue. We ended 2025 at 71%. The market is moving away from licenses, which is a good thing. And we are, at the same time, while the market is moving away from licenses, really focused on driving recurring, highly profitable product revenue. So we are leaning into that, as we think about continuing that journey, and I would expect to see a similar like an accelerating recurring increase, as you think about the total. I think we also said in our prepared remarks that we would expect recurring revenue in capital markets to be mid- to high-single digits in 2026. So you would expect us to continue to lean into recurring. It's a market condition. It's also a better outcome for FIS. It's how our customers want to buy, and it's a higher recurring revenue, higher margin business over time. I don't know, James, if there's anything you want to add?
James Kehoe: No, nothing to add. It's just -- I think you'll see a similar trend over the coming years. So accelerating recurring growth and call it moderate to -- moderate growth on nonrecurring. Bear in mind, the nonrecurring is still growing in 2026. It's just growing at a much lower rate, and then, we're highly optimistic about the business and the accelerating trend on the recurring revenue.
Operator: Our next question comes from Darrin Peller with Wolfe Research.
Darrin Peller: Nice job on the quarter and the year. I just want to revisit a higher level question again and maybe a little bit away from AI and focusing on the issuer business. I guess, there's been more conversations over competitive dynamics with some of the big -- bigger networks getting into issuer processing and some of the -- just some ankle biters coming in, in terms of trying to disrupt the space. So maybe similar to the question on high level like AI, but maybe focused on issuer, what do you see in terms of the barriers there again to maintain your position, especially now that you've really just acquired into a big part of the credit side? And then, on a side note, just financially, what are you incorporating for the year in terms of issuer synergies? Is it too early to expect any in terms of embedded in the financial outlook? Or do you already see cross-sell opportunities embedded in the later part of this year?
Stephanie Ferris: Thanks, Darrin. So yes, so great question, pulling back. So if you think about our acquisition of the Total Issuing business, we have now added to our product suite the marquee large-scale credit processing business globally. I think, when you think about that, there's 2 things in terms of how we compete there. One is the product capabilities that it brings into FIS, but also how we will be able to leverage our relationships that are very large with the existing FIS' around the world. So if you think about the product capabilities, and there's always new entrants that make us all better, I think we would say we have in North America, by far, the biggest product credit business. It's large. It's scaled. It has expertise that is decades long. I think we talked about, as a proof point, how valuable that is to our existing base considering that we renewed approximately 30% of the revenue in that base in 2025 and have no renewals in 2026. Just trying to express our customers' belief in the existing business. That being said, we obviously have modernization going on, and we can talk about that a bit later. When you think about the international business, and I think the global folks have probably talked about that, we have a product in prime, which is the industry leader. It's driving about $200 million of revenue. It's been growing at a 15% CAGR from 2016 to 2025. It competes globally, and it's very, very competitive against whatever new entrant is out there. So I think we think about product capabilities, whether it's in North America, as being large and scaled and best-in-class. Internationally, the same thing. So we do believe we have a very, very competitive product set, if you think about credit issuing on its own. Then, when you think about how do we leverage the FIS relationship, so when you think about some of the competitors you're thinking about that are bigger, you are leveraging, or would be leveraging, their broader relationships. We now have that advantage with the issuing business inside FIS, think about the size and scale we are now to the large financial institutions. We provide debit processing. We provide credit processing. We provide core banking. We provide lending. We provide trading and processing. So we have an ability with the credit issuing business to also lean into relationship size and scale that I think will make the total issuing business continue to be very competitive. And then I think finally, I'd say just the data advantage that I mentioned in the first question with respect to AI, do not underestimate how important data is to all of these financial institutions to pursue their own AI agendas. And I talked about this, and might have got lost in the prepared comments, the value of having a bank's core processing system as well as doing their credit issuing off of total issuing was so -- we've already started to have conversations. And we're in a POC with a large regional bank to bring that data together inside our systems, serve that up and help them build a model to make their credit card customers and -- enhance their credit line increases in a much more dynamic way than they've ever been able to do before. This is an example of where bringing the data together makes us even more valuable to our end customers. And we don't see any other competitor having that kind of capability across core debit, credit, et cetera, in the landscape. So try to view that as -- or give that as an example. And that -- and we started doing that. As soon as we announced, they reached out to us in terms of working together on that. So more to come on data products, as we think about enhancing our data capabilities. But that's probably what I'd say around credit issue.
Operator: Our next question comes from Will Nance with Goldman Sachs.
William Nance: I appreciate the disclosures on the makeup of the Banking business. I wanted to maybe zero in on just how you're thinking about the growth algorithm between these. I think -- with a lot of the payments-oriented assets going into this payments line, I think it's somewhat surprising to see that -- it seems like TSYS is only 40% less than half of the Payments business, so really kind of highlighting the diversity of the segment. Can you talk a little bit about how to think about growth drivers across of these? Obviously, TSYS was something like a mid-single-digit growth business. Should we be thinking about Banking as something in the kind of low-ish single digits with kind of like stronger, sustained growth across payments over time?
Stephanie Ferris: Yes. Thanks, Will. I don't think we're ready to talk about segment -- subsegment growth rates. I think what we would say, and what we've shared is, I think you can think about the total issuing business growing consistent with what it grew in 2025, so about 4.5%. So think about that staying consistent in 2026, and legacy FIS business, obviously growing a bit faster than that to make the overall guide work. And so we're really excited and proud of the work we've done broadly across the FIS organic business and Banking and the acceleration you're seeing there in 2025 and it continuing into 2026. So I think, as you think about the TSYS, as we sit here today, that's the best we can probably provide to you. As we come into first quarter, we'll give you a little bit more color around subsegment growth rate.
Operator: Our next question comes from Dan Dolev with Mizuho.
Dan Dolev: Stephanie, great results, really, really nice. Just maybe a strategic question here on the portfolio. Obviously, you've got like a really good portfolio right now, and your shares are definitely trading below what they're worth. As you think about sort of your portfolio today in terms of the assets that you have, is everything from now on considered core? Is there anything you're thinking of in terms of what could be done to enhance buybacks, just to get the sense of how you're thinking about the portfolio?
Stephanie Ferris: Yes. I think we're really happy with where the portfolio sits. Obviously, we've done 2 very strategic transactions to simplify the portfolio meaningfully, really focused on a single client base and financial services, our products make sense and go together. I think we will always be doing pruning of the portfolio. We've done that for years. And so you can see a bit of that, as we move things into Corporate and Other. But I wouldn't expect you to hear from us around large sales or anything like that. We feel -- we're really wrapped up, frankly, in integrating the TSYS business and making sure that we really focus on executing well on that and executing on the base business. I think -- I'm sorry, James commented in his prepared remarks that we're also focused on repaying our debt. That's our primary focus. That will be our focus. Until we get that done, you wouldn't expect to hear from us on buybacks.
Operator: Our next question comes from Jason Kupferberg with Wells Fargo.
Jason Kupferberg: I wanted to go a bit deeper into the Banking segment. Obviously, the organic outlook here, again, is outpacing your medium-term range from the Investor Day, I think, by maybe about 150 bps at the midpoint. So just wanted to get some more perspective on what's driving the above trend performance. You talked about it a little bit high level in the prepared remarks, but it seems like there's sustainability behind that. So if you can just unpack where you've seen particular success with some of your refreshed go-to-market motion over the last year or so? It seems like it's bearing fruit. So we'd love to just hear more on that.
Stephanie Ferris: Yes. Thanks, Jason. Yes, look, we're really, really happy with our commercial excellence. I think I'd start there. We have been focused in driving commercially selling on the products that we think makes sense for FIS and where growth, frankly, is demanded from the end markets. So you saw us through 2025 continue to drive commercial excellence. We knew we had that in our back pockets with tailwinds, as we came out of 2024. We talked about that. We talked about both reenergizing the sales engine as well as having higher rates of renewal. So the combination of those has really been helpful in terms of driving and outperforming on the banking business, probably even faster than we expected. So it's fantastic. I would say with respect to where we're seeing demand, it is broad-based. We have demand across all of our products, in particular, obviously, core and our core capabilities, as we're -- we have left core modernization behind in terms of core consolidations. But probably more importantly, if you remember, when we talked at Investor Day, I talked about needing to be focused in selling in payments, digital and lending, and we continue to see demand there, and our products continue to have huge uptakes there in terms of what our customers are needing from us. We've also been able to supplement our organic products like Money Movement Hub, frankly, which has had huge demand with some of the acquired products like Amount, like I mentioned, that's really around digital capabilities. So we're seeing it's really broad-based. But what I think you should really take away is we have our commercial excellence back. We're operating with excellence there. Our products are really strong in the market with our buy-build partner strategy. And we're just really focused on continuing to drive that as we move into 2026 and feeling really good about where the Banking business is performing.
Operator: Our next question comes from Timothy Chiodo with UBS.
Timothy Chiodo: Great. First on the Worldpay revenue. So there's the Worldpay revenue that hits into the Banking segment. In 2023, I believe that was about $30 million. It was about $140 million in 2024, and it was expected originally to be sort of flat to down in 2025. I believe that it came in ahead of expectations for the full year for 2025. And I was hoping you could give us a little context on, one, what was that full year number for '25 and a little more context on what's in there. You've mentioned in the past that there's premium payback and maybe some other services that are being provided through Worldpay. And then lastly on this topic, just what revenue contribution is implied in 2026, meaning will it be a headwind, a tailwind or relatively neutral?
Stephanie Ferris: Yes. Thanks, Tim. So if you recall, when we separated Worldpay from FIS, we talked about commercial revenues because we serve each other. And so some of the things or the things that are in there and that are driving growth are Worldpay's use of our loyalty and premium payback product, use of our network routing capabilities on NICE. These are really, really strong products that they use in cross-sell. So the continued growth of them is natural growth, just like they are now a completely separate customer. You continue to see strong demand, and you'll see strong demand because those are some of our best payment products. So I think that's really what's been driving them strong payment growth, like I said, broadly across the market. And then, it's -- they are obviously great products that we always have had, as we work together, and then, as we've now separated become natural third-party agreements. So I'm not sure that we're going to give a 2026 guide. I don't think that makes any sense anymore given that it's Global Payments. But I do think this is -- this ends up showing and expressing the value of the commercial agreements and really excited for Global to continue to consume these products.
Operator: Our next question comes from Bryan Bergin with TD Cowen.
Bryan Bergin: I want to dig in a bit on free cash flow and talk about the bridge to '28. So can you give us a sense what the largest sources of that projected expansion from the $2.1 billion base here in '26 to the $3 billion target that you have? What are the building blocks? And kind of where do you have most confidence versus where it may be more fluid?
James Kehoe: Yes. I would take a couple of blocks here. One is on capital intensity. So last year, it was 9.3%. We're projecting 8.5% for this year. We think longer term, the natural trend level is around 8%. So that's 0.5 point from capital. Two is we're not at the end yet of our working capital optimization. I think we made great inroads in 2025. We have significant carryover benefits into '26. And there's probably still some optimization in 2027. The biggest one, however, is going to be the reduction in transformation and integration. It's kind of intuitive because in the 2026 year, there's about $200 million of cash costs relating to the integration of the credit issuer business. By the time we get to 2028, those costs will no longer be in the cash flow statement. Two is 2026 is a pretty high level for, call it, transformation expenses. And you've seen from our margins that we're driving core FIS margins substantially higher than what we said when we gave the midterm guide of 60 bps. It's closer to 80 bps on the base business. So we're getting good traction on cost reduction in '26. Those programs will decline as we get -- go closer to '28. So the biggest single driver, '28 versus '26, is actually lower one-time. So a significant reduction on the credit issuer integration and a significant reduction on FIS transformation.
Operator: Our next question comes from Andrew Schmidt with KeyBanc Capital Markets.
Andrew Schmidt: Stephanie, I totally agree with you on the generational moment at financial services, certainly an exciting time. Just 2 questions, if you don't mind, if I could squeeze in. Just one bank M&A, just can you talk about to what extent bank M&A is included in the outlook and then opportunities in subsequent years as more product is taken and customers grow. And then the second one, just on Agentic or GenAI solutions, maybe you can level set us. What are customers actually asking for? And maybe you could just talk about the opportunity for FIS to be a conduit versus other third parties coming in and providing different workflows? I think there's an opportunity to be a conduit versus the runaround that we currently hear out there as a narrative. But anything on those would be helpful.
Stephanie Ferris: Yes. Thank you. Happy to. So on bank M&A, it is a generational moment, lots seen in 2025. I would expect us to see more in 2026. Given where we sit in the market, we view ourselves to be share gainers there. We won't win them all, obviously, but we've been on the winning side of most. In terms of the 2026 guide, we only guide the ones that we know. So to the extent there's another one in 2026, typically, what happens is we'll update our forecast. But usually, it -- although it's been going much quicker, usually, if we hear of something in 2026, it will close in 2027. But -- so we don't have anything baked in. So any of it would be upside or downside depending on where it goes. We do expect though to see more bank M&A broadly, and so, we'll stay tuned on that. In terms of Agentic, it's really interesting. So there's been a lot of talk about Agentic commerce. And when you hear about it, most is focused on how to make sure that merchants and acquirers and Visa/Mastercard can facilitate the Agentic capabilities. Where we're focused, because we're focused solely on financial institutions, has been ensuring that when the bank -- when we receive the Agentic transaction on behalf of a bank that we can identify it as an agent working on your behalf because there's 2 things. One, bank models are -- I want to make sure that we can authorize that Agentic commerce transaction for you and that we don't decline it because it's coming in at a weird time at night that you don't normally shop at, but maybe your agent does. So we're helping banks think about and making sure that we can provide the flag to say this is an Agentic commerce transaction, and you want to make sure that you authorize it. So that's point one for financial solutions -- for financial institutions. And then the second is really starting to work with financial institutions to help them think through Agentic fraud. So -- and this is very new and cutting edge, but at the same time, you want your car to be processed for your Agentic transaction. There are a lot of bad guys out there thinking about how to use agents to also transact on your card. And as you know, financial institutions have very sophisticated fraud models built that we either provide them data or we run the fraud models for them. And so we're spending a bunch of time working with our FIs to figure out how do we update those models for new ways of fraud using Agentic commerce. So for us, and this is where it's really good for us to be singularly focused on financial institutions, we're spending less time thinking about how to make sure a merchant can facilitate an Agentic transaction. We're leaving that to Visa, Mastercard and acquirers. We're working with Visa and Mastercard and other FIs to make sure that we can authorize the transaction, it doesn't get declined, and that we can make sure that our FIs can protect themselves against what is probably going to be more fraud used against them. So that's how we're thinking about Agentic.
Operator: Our next question comes from Vasu Govil with KBW.
Vasundhara Govil: Maybe Stephanie, another AI question for you. Just how much engagement are you seeing from bank clients today on deploying AI solutions? And if you could give us a sense of whether it's coming from the largest banks, the mid-sized banks? And how quickly do you think we will start to actually see traction and sort of flowing into the P&L? And if I could ask a quick one to James as well, just on the margin variability we saw in the quarter, I got the dilutive impacts from M&A and TSA headwinds. I'm just guessing like what surprised you in the quarter relative to expectations on that front, I guess.
Stephanie Ferris: So what I would say, Vasu, is that I've never seen banks want to or start to adopt technology faster than they're adopting AI. They all see the potential advantage of using it. If you think about their cost structures, they have significant cost structures, whether you're big or small, decked against operational flows, in particular, like making sure that they stay compliant with regulatory KYC, KYB, et cetera, or deposit loan ops or places where they have a lot of people is where I see banks wanting to attack -- wanting to use AI to tackle taking out those costs and redeploying those cost savings into ways they can grow, think deposits, loans, et cetera. And so whether you're a small bank or you're a big bank, you're thinking a lot about it. Now, how you're deploying it is a little bit different depending on if you're small, medium or big. If you're large, then you are likely deploying AI yourself, but what you're coming to FIS to talk about is needing to get data from us in a real-time fashion as well as talking to us about, okay, you can now serve me up my core data, my credit data, my debit data in real-time capabilities. And we have a lot of banks that are very interested in consuming capabilities from us like that. So we're building those out. You would expect them to be building their own agents on top of that. We then also have regional or mid-sized banks where they're saying to us, look, we love -- we need all that data. We want you to help us build out our models and our modeling capabilities. Then, you have small banks who are saying, look, I really need you to help me and we are working with them to build out agents that are embedded inside the core and the transaction platforms so that they can reduce their operational costs in the back office. For the most part, banks are really using AI to take down their back office costs. And if you think about banks broadly, no matter how big or small you are, that's in compliance and regulatory areas, that's in where they have large amounts of people. And so that's where we're working with banks to really focus in terms of how to take down costs. The other place that they're spending a bunch of time on is in fraud because AI does help models become more predictive. Again, we provide a lot of data there and capabilities. And so with all the data we have -- now have with total issuing, our fraud models become even more valuable to them. So lots of conversations, varying levels of implementation levels. But I would say there's not a bank that I talk to that isn't talking about and exploring what AI can do for them.
James Kehoe: And then, Vasu, you had a question on margins in the fourth quarter. Yes, I think you asked what surprised us. I guess, as we went into the quarter, we were pretty happy with the consumer demand. What we saw later in the quarter, we saw much higher levels of actually customer demand for output services and equipment. And then the second thing is currency rates went slightly negative at 35 bps. And this customer demand were on generally lower-margin products and that pulled down margins a little bit. That being said, I will go back to what you alluded to. We're exiting the year on a few -- on a full-year basis, take out TSA and M&A, the core margins were up about 90 basis points. And then, you look into 2026, and the pro forma margin growth is at 95, call it, 100 bps. And as I said earlier is, if you take out the benefit from synergies on credit issuer, the actual FIS margins for next year are projected at around 80 bps expansion, which is above what we were thinking on back at Investor Day of about 60 bps. So we're actually very, very bullish on the margin side.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.